Operator: Good day, and welcome to Symantec's Fourth Quarter and Fiscal Year-End 2012 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss fiscal fourth quarter and fiscal year 2012 financial results. With me today are Enrique Salem, Symantec's President and CEO; and James Beer, Symantec's Executive Vice President and CFO. In a moment, I will turn the call over to Enrique. He will discuss Symantec's execution during the quarter and the fiscal year. Then James will provide highlights of our financial results, as well as a review of our guidance assumptions as outlined in the press release. This will be followed by a question-and-answer session. Today's call is being recorded and will be available for replay on Symantec's Investor Relations website. A copy of today's press release and supplemental information are posted on the website, and a copy of today's prepared remarks will be available on the website shortly after the call is completed. Before I begin, I'd like to remind you that we provide year-over-year constant currency growth rates in our prepared remarks, unless otherwise stated. Earnings per share growth rates are provided on an as-reported basis. We use our foreign currency rules of thumb in our guidance section for all constant currency year-over-year growth rates. For the March quarter 2012, the actual weighted average exchange rate was $1.31 per euro, and the end-of-period rate was $1.33 per euro, compared to our guided rate of $1.30 per euro. For the March 2011 quarter, the actual weighted average rate was $1.37 per euro, and the end-of-period rate was $1.41 per euro. We've included a summary of the year-over-year constant currency and actual growth rates in our press release tables and in our supplemental information, which are available on our website. Some of the information discussed on this call, including our projections regarding revenue, operating results, deferred revenue, amortization of acquisition-related intangible and stock-based compensation for the coming quarter contain forward-looking statements. These statements involve risks and uncertainties that may cause actual results to differ materially from those set forth in the statements. Additional information concerning these risks and uncertainties can be found in the company's most recent periodic reports filed with the U.S. Securities and Exchange Commission. Symantec assumes no obligation to update any forward-looking statements. In addition to reporting financial results in accordance with Generally Accepted Accounting Principles or GAAP, Symantec reports non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results, which can be found in the press release and on our website. And now I would like introduce our CEO, Mr. Enrique Salem.
Enrique T. Salem: Thank you, Helyn, and good afternoon, everyone. As we announced last week, our fourth quarter in-period revenue was weaker than expected, driven by fewer license rich deals and a shift in our revenue mix toward subscriptions. Our fourth quarter bookings, however, exceeded our internal plans and the underlying billings activity came in line with our expectations. This resulted in greater billings going to the balance sheet, driving stronger-than-expected deferred revenue. Despite the March quarter results, fiscal year 2012 was a record year for Symantec. We executed on our strategy to strengthen our core businesses, while continuing to grow our emerging businesses. We laid the foundation to capitalize on key growth initiatives in Cloud, Mobile and Virtualization. We developed a number of important innovative technologies that support our strategy. We expanded our portfolio of SaaS-delivered solutions and recently launched 03, our new security service for the cloud. We also introduced multiple mobile application and device management solutions and DLP for tablets. Furthermore, we strengthened our partnership with VMware to provide storage solutions that facilitate virtualization of critical applications. In our core businesses, we launched the best performing Enterprise Endpoint Protection product according to industry analysts. We successfully released our Backup Appliances with better-than-expected results and launched the industry's first membership offering for consumer security. We are continuing to make progress in penetrating the SMB segment, where there's more opportunity to grow. We successfully reversed the downward trend in our core Enterprise Endpoint Security business, which saw its third consecutive quarter of bookings growth, driven by SEP 12's award-winning product launch. Our Trust Services business also performed well. This is a market many believed to be in decline when we bought it, yet the team's focused execution has driven growth and share gains across both the premium and value segments of the certificate market. Our emerging businesses contributed to bookings growth during the fiscal year 2012. User Authentication, designed to protect identities, had another record quarter. Managed Security Services continued to gain share as customers relied on our security expertise to help them deal with the targeted threat environment. We simplified our pricing structure, which has both streamlined the buying process for our customers and improved our margins through better alignment of cost and value. We signed a number of new MSS contracts across geographies, highlighted by an important win at a major German bank. Our SaaS security services also grew as cloud delivery is increasingly the preferred solution for mail and web security. As all of these growth drivers are subscription offerings, sales go to the balance sheet and will be recognized as revenue in the coming quarters. In the fourth quarter, we laid the foundation for both our Cloud and Mobile solutions. In order to help customers with the key trend of "Bring Your Own Device," we acquired 2 mobile companies to round out our capabilities. Being able to offer customers mobile device and application management allows employees to use their personal devices in the workplace without having to compromise security or the native user experience. We also launched Phase I of 03, our Identity and Access Control service, enabling single sign-on for third-party cloud applications. We have received positive early responses to this service from a variety of customers. With storage costs making up 17% of IT budget according to Forrester, it becomes increasingly important for organizations to manage their data in more efficient ways. Symantec enables customers to use virtualization technologies and the cloud to lower IT costs and confidently back up, recover, archive and discover information. Our Information Management products protect and archive physical and virtual machines, using integrated market-leading capabilities. During the year, we strengthened our partnership with VMware. We developed innovative technologies, such as V-Ray, and provided advanced capability for source and for target deduplication. In addition, we successfully delivered industry-leading Backup Appliances, which have driven incremental new business and have displaced established competitors. In the fourth quarter, we refreshed our Backup products for the Enterprise and SMB segments. We differentiated ourselves by providing up to 100X faster backup speed and integrating with NetApp Snapshots. We leveraged our unique technologies across multiple delivery models, including cloud, fully integrated appliances and traditional on-premise software. We will continue driving the penetration of our appliances into new and developed markets, integrating our complementary eDiscovery and archiving capabilities and cross-selling these higher-growth businesses into our installed base. Our Storage Management business received several large renewals from top Telco and financial sector customers, reiterating our customers' commitment to these products and the value of these relationships. Our large Storage Management customers use both our Backup and Storage Management products to better protect and manage their information. We will continue to expand our partnerships with Red Hat and VMware to help customers migrate business-critical workloads into their private clouds. The increasing momentum towards the Linux platform and data center modernization will continue to be the primary opportunity drivers going forward. This business generates an important source of cash and profits for the company. Our consumer business generated its 14th consecutive quarter of year-over-year revenue growth. We maintained our consumer security leadership during the global decline in PC shipments that was felt most acutely in the developed markets, where the attach rates are much higher than in the emerging markets. In our beyond-the-PC offerings, our cloud backup solution and NortonLive Services continue to generate strong growth. Norton Online Backup now has 14 million users. This solution is an important part of our consumer protection portfolio and has proven to be an important driver of our renewals. Our smartphone and tablet solution, Norton Mobile Security, is also available as an app in the Android market and has received a 4.3 star rating. Today's consumer accesses information on a broader array of devices than the PC. Our recently launched Norton One service enables this trend by ensuring information protection moves with the consumer. Norton One, the industry's first membership offering, represents a new paradigm in consumer information protection. This premium service provides comprehensive protection across multiple devices, backed with a personalized experience and dedicated support, all managed through a single cloud-based interface. In conclusion, while I'm disappointed with the lower-than-expected revenue results in the fourth quarter, I am pleased with the 9% revenue growth we delivered in fiscal year 2012. We will continue to focus on strengthening our core businesses and growing our emerging opportunities. We are excited about the roadmap for fiscal year 2013 and have many of the foundational elements in place to grow our business. This is the overriding focus of our team as we move ahead. And with that, I'll turn the call over to James for a detailed review of our financial results.
James Beer: Thank you, Enrique, and good afternoon. As we discussed on our preliminary update call last week, our bookings activity met our expectations for the fourth quarter, but a year-over-year decline of 26% in license sales and a larger percentage of ratable subscription sales, caused revenue and EPS to come in below our expectations. The higher subscription sales caused more of our billings activity to be recorded on the balance sheet, resulting in a higher deferred revenue balance. For fiscal year 2012, we reported record results for each of our key financial metrics and across all of our geographies. This performance was driven by strength in our Backup, SaaS, DLP and Managed Security Service offerings, as well as the results of our recently acquired businesses. First, I'll review the financial results of our fiscal year 2012 compared to fiscal year 2011. As-reported revenue grew 9% and reached a record $6.73 billion. On a constant-currency basis, revenue grew 6%. Acquisitions accounted for $54 million in revenue, resulting in 1% organic constant currency growth for fiscal 2012. In constant currency, our license revenue declined 7%, while content and maintenance revenue grew 3%. Subscription revenue grew 15% and accounted for 43% of total revenue compared to 39% of revenue in fiscal 2011. Enterprise subscriptions grew 40% and accounted for 12% of total revenue as compared to 9% of revenue in the prior year. International revenue grew 7% to $3.49 billion and represented 52% of total revenue. The Americas grew 7%; Asia Pacific, including Japan, grew 14%; and the Europe/Middle East/Africa region grew 1%. As a result of our billings performance, we exited the year with a record $3.97 billion in deferred revenue, up 5%. Our non-GAAP operating margin of 25.2% was down 20 basis points and non-GAAP earnings per share grew 13% to $1.61. We generated $1.9 billion of cash flow from operations, up 6% from fiscal 2011 on an as-reported basis. Capital expenditures totaled $286 million, resulting in free cash flow of $1.615 billion for the fiscal year. Our cash, cash equivalents and short-term investments balance totaled $3.2 billion, with approximately 28% of this amount residing onshore. During the year, we spent $893 million to repurchase 51 million shares at an average share price of $17.62, reducing our common stock outstanding count by 6.5% or a net 4.3%, after adjusting for the issuance of employee stock compensation. Now I'll review the financial details of the March 2012 quarter compared to the March 2011 period. Revenue increased 1% year-over-year and totaled $1.681 billion. Clearwell generated revenue of $13 million, below what we were expecting due to increased competitive pricing in the eDiscovery litigation service provider channel. LiveOffice generated $4 million in revenue, coming in better than planned. For the fourth quarter, our organic constant currency revenue declined 2% year-over-year. As we mentioned last week, license revenue declined 26% year-over-year, in part as a result of record license sales in the year-ago period and the continuing shift towards subscription-based products and services. Content and maintenance revenue continued to grow steadily, increasing 4% year-over-year. Subscription revenue grew 10% and accounted for 41% of total revenue, up from 38% in the year-ago period. Enterprise subscription sales grew 30% year-over-year. Across the Enterprise business, we closed a total of 487 transactions valued at more than $300,000 each, approximately equal to the number in the year-ago period, and 128 of these transactions generated more than $1 million of bookings, up 7% year-over-year. The Security and Compliance segment grew 9% year-over-year, driven by strength in MSS, SaaS and Authentication Services. Our Endpoint Security business also grew for the third consecutive quarter. The Storage and Server Management segment decreased 5% as compared to the March 2011 quarter, driven by weakness in our Storage Management business and a pause in sales before the launch of our new Backup Exec product. Revenue from our backup, archiving and eDiscovery business was down 3% year-over-year, but our newly launched Appliance business continues to exceed expectations, more than doubling its revenue year-over-year. Revenue from our Storage Management business decreased 8% year-over-year, driven by lower license sales than in the year-ago period. The consumer business was up 2% year-over-year, driven by strong growth in our new cloud and service offerings, as well as improving renewal rates in the core business. The new service offerings grew 54% year-over-year and accounted for 2 percentage points of revenue growth. OEM placement fees were greater than our forecast by $5.4 million, as our OEM partners shipped more units than they had originally forecasted. For the June quarter, we expect PC shipments to increase as our OEM partners ship more units into emerging countries, which have lower software attach rates. Our Services business generated revenue of $64 million as we continued to transition our consulting practice to specialized partners. GAAP operating margin for our Services segment was 17% as compared to 7% in the March 2011 quarter. Turning now to total company margins. Non-GAAP gross margin was 84.6% for the March 2012 quarter, down 110 basis points year-over-year on increasing appliance and SaaS sales. Non-GAAP operating margin was 22.2%, down 210 basis points year-over-year, driven by weaker-than-expected revenue. The tax rate for the quarter was 21.4%, below our guidance of 27%, due to several onetime items being resolved favorably during the quarter. We generated another quarter of strong operating cash flow. Cash flow from operating activities for the March quarter totaled $687 million. During the quarter, we spent $200 million to repurchase approximately 12 million shares at an average price of $17.88. We are reaffirming the guidance we provided last week. We are assuming an exchange rate of $1.32 per euro, a decrease of 8% versus the weighted average rate of $1.44 and the end-of-period rate of $1.45 per euro from the June 2011 quarter. Our guidance assumes an effective tax rate of 27% and a common stock equivalents total for the quarter of approximately 725 million shares. Thus, for the June 2012 quarter, we expect GAAP revenue to be in the range of $1.645 billion to $1.66 billion as compared to revenue of $1.653 billion during the June 2011 quarter. Year-over-year, we expect revenue to be up 2.4% to 3.3% on a constant-currency basis. We expect Clearwell and LiveOffice to generate combined revenue between $11 million and $15 million in the June period. GAAP earnings per share are estimated to be between $0.18 and $0.19, as compared to $0.25 in the year-ago period. Non-GAAP earnings per share are estimated to be between $0.37 and $0.38, as compared to $0.40 in the year-ago period, down 1.5% to up 1% after adjusting for currency. GAAP-deferred revenue is estimated to be between $3.715 billion and $3.735 billion, compared to $3.689 billion at the end of June 2011. We are expecting deferred revenue to be up between 2.8% and 3.4% in constant currency. 74% or $1.23 billion of our June quarter revenue is estimated to come from the balance sheet. This is the highest deferred revenue rolloff percentage we've seen to date. In conclusion, although our recognized revenue was weaker than we expected in the fourth quarter, we were pleased with the strong bookings performance generated in fiscal year 2012. We remain focused on consistent execution and managing our expenses judiciously to drive top line organic growth in the coming fiscal year. And now I'll turn it back to Helyn to begin polling for your questions.
Helyn Corcos: Thank you. Operator, will you please begin polling for questions?
Operator: [Operator Instructions]
Helyn Corcos: While the operator is polling for questions, I'd like to update you on a few upcoming events. We will be hosting our Financial Analyst Day on Thursday, May 24, in San Francisco. Please note that registration is required to attend the event. In addition, we'll be presenting at the JPMorgan Conference on May 15 and at the Cowen Conference on May 31. Lastly, we will be reporting our fiscal first quarter results on July 25. For a complete list of our investor-related events, please visit our Events Calendar on the IR website. Operator, we're ready for our first question.
Operator: And that question will come from Brent Thill with UBS.
Brent Thill: Two quick questions. One, just on the Enterprise subscription metric you gave, you noted stronger growth there versus licensing. How should we expect that trend over the next year? And then secondly, if you could just walk through -- clearly the Storage business came out a little bit lower than your expectation and the margin was down about 1,000 basis points year-on-year. Can you give us a sense of where you think the margins should restabilize back on the Storage side?
James Beer: Well, in terms of the Enterprise subscription growth rate, I talked about 30% up year-over-year. That is seeing the rolling off benefit of the VeriSign acquisition, so the SSL business is obviously a large portion of that total Enterprise subscription amount. So as the quarters go by, I would expect that to normalize more in-line with the true organic blended rate of the SSL business with the higher organic growth rates of the other of our subscription services businesses. So I would expect it to come down somewhat over time. In terms of the margin around the Storage Management side of the business, I would certainly expect the Backup performance to be improving in coming quarters. We talked in our remarks about something of a pause around Backup Exec prior to the release of that new offering. We also have a new version of NetBackup into the marketplace. And so as those license-oriented sales rise, I would expect margins to rise as well versus what we recorded in the March quarter.
Operator: And the next question will come from Brad Zelnick with Macquarie.
Brad A. Zelnick: Enrique, clearly there are a lot of good things happening at Symantec, but investors I've spoken to over the past week are trying to better understand your comments that the company met its internal plan in Q4, despite having missed your combined guidance for revenue and deferred revenue. Can you help us better understand what metrics you're managing to internally and how they deviate from reported revenue and deferred revenue that we see in your financials?
Enrique T. Salem: The metric we use is -- we look at total Enterprise bookings for the quarter, was the number that I'm referring to, Brad. And when you look at that blend, what you end up with is, we are looking at the combination of what gets -- what's in revenue, what's in deferred revenue. And as we book longer-term deals, so, for example, our cloud-based services, we look at the total contract value, a commitment over a 3-year period. So for example, we give credit for somebody who closes a 3-year .cloud deal; that's 3 years worth of credit. And so it's important to note that some of the bookings are not going to show up in revenue and deferred revenue. They're actually going to show up in years 2 and 3. That's also the case for MSS and a couple of our other businesses. So it's just the total activity, because what we're trying to do is get customers to commit to longer subscriptions with us, and that's been our practice over the years, Brad.
Brad A. Zelnick: That's very helpful, Enrique. And if I could follow up, James, how did consumer bookings in the fourth quarter measure up against what you'd expected when you originally gave fourth quarter guidance? And can you maybe compare your consumer bookings result versus Enterprise bookings in terms of how much each deviated from plan?
James Beer: Well, the Enterprise bookings are, obviously, going to be very much back-end loaded right towards the last week or 2 of the quarter. And those Enterprise bookings drive the volatility that we saw -- the lower Enterprise revenue that we saw, driven by that mix shift away from traditional license to more subscription activity that we've been talking about. Now the consumer side of the business has obviously a very different profile in terms of the way the bookings build during the quarter. It's a much more linear approach throughout the quarter. So the consumer business came in close to where we would have expected it to be. The Enterprise business actually beat on the bookings, but those bookings translated through into fewer recognized revenue dollars in period.
Operator: And the next question will come from John DiFucci with JPMorgan.
John S. DiFucci: It's good that you guys give us a lot of information. I think it's good sometimes that we can ask questions like this next one I'm going to ask on storage. It's sort of a follow-up to Brad's question. Storage is down 5% on a constant-currency basis and I would assume that the maintenance renewal rates for Storage are actually pretty good. But -- and when I think of pretty good, I think for Enterprise maintenance renewal rates are in the 90s. That's sort of best in class, and that's why I would think you're in for that. But down 5%, that, even if -- let's say a 95% renewal rate, that means year-over-year, you didn't sign any licenses. Zero. And if it was all maintenance that you signed a year ago, that would be down 5%. So either maintenance renewals are actually going down in that business, which, actually, I'm not sure why that would happen because these are people that have installed Veritas or Symantec Storage, and/or license is just negligible here. And I don't know, if you can help shine a little more light on this. Because as a leader in Storage software, both in storage backup and in Storage Management, even if existing customers are just buying new capacity as they grow, I would think that, that should grow a little bit. And just -- in the market itself, it appears to be growing a little. Just kind of shocking to see those numbers. If you can sort of address that.
Enrique T. Salem: John is -- you're doing analysis, and -- let me give you a little bit more color that I think will be helpful. When you look at the overall Storage Management business, that is where we've seen the decline that is driving the shortfall that you're describing. And specifically, that segment is down 8% in what we call the Storage Management area, not the Backup and recovery part of SSMG. The other thing that's important to note here, that we shouldn't overlook -- we've been doing a lot of work on the HP-UX platform, and that is a reseller OEM agreement that is coming directly through HP, and so we saw a little bit of slowdown in those billings. And so the growth opportunity for us in Storage Management is really in 2 areas: one, around virtualization, as people start using technologies like Application HA to make their VMs higher availability; and then the second is the continued move and adoption of Linux, specifically, Red Hat. And so you're seeing a headwind in that business on some of the more traditional platforms and some opportunities around the new platforms of virtualization and Linux.
John S. DiFucci: Right. So everything...
James Beer: To emphasize the strength of the renewal rates, as you alluded to, John, in the way you framed the question, we have strong renewal rates in those businesses and I was pleased with the continued growth of the maintenance line within our P&L results.
John S. DiFucci: But -- and that makes sense, James, but I think the backup business, as you -- when you first spoke in the prepared remarks, was actually down 3% too. And I just -- I mean -- and if the renewal rates are high, you must not be -- and some people, I guess, are adding some kind of -- and this is my follow-up, I won't ask another one, are adding some capacity. Are you renewing maintenance contracts at significant discounts. Maybe the renewal rate's high, but you're just discounting the renewals?
James Beer: You see the -- certainly, the driver of the revenue result for the March quarter was that 26% decline in license revenue. Now both the backup and Storage Management businesses can be relatively license rich and we've talked in the past about how we saw fewer big deals in the March quarter than was the case a year ago. So it was very much the result of a lower volume of these bigger deals, driving fewer backup and Storage Management licenses that drove the revenue result. The renewal rate's continuing to build very nicely.
Operator: Our next question comes from Aaron Schwartz with Jefferies.
Aaron Schwartz: Aaron. You had talked about how you sort of met or exceeded your billings and bookings growth for the quarter, and presumably the year. And if we look at that in the context of your cash flow growth going forward, I know you're not guiding on an annual basis, but given that the billings and bookings growth, is there any reason why cash flow should not continue to grow in sort of that mid-single-digit growth rate, sort of putting aside the shift between the income statement and the balance sheet on the bookings?
James Beer: Yes, I think, directionally, you'll continue to see cash flow growth growing in-line with our operating profit growth.
Aaron Schwartz: Okay, terrific. And then on the revenue guidance, if we look at it, I mean, you get about a negative -- at the midpoint here, 2.5 or 2.7 point hit from currency. If we factor that in, can you just talk about sort of your expectations in the June quarter for the different business segments in terms of your guidance here, would you expect the Storage Management business to continue to be weak here? Do you think the backup products should reaccelerate in the June quarter on the heels of the release, or does that take a couple of quarters? Maybe you could just walk through some of the segments in terms of how they should line up in the June quarter?
Enrique T. Salem: I would -- if you look at it by segment, I think you'll see our file system business continue to be at roughly the levels, with some of the continued weakness there. But when you look at Backup, specifically products like Backup Exec, our expectation is that they will start to pick up in the June quarter. With NetBackup, that will take a little bit longer as it's a larger Enterprise sale. But we do expect, for example, our appliances to continue to do very well. When you look at the Enterprise Security business, given the refresh of SEP 12 that we've done, continuing improvements in the Small Business segment, we also expect Enterprise Security to be strong in the June quarter. So that's how we'd look at it across the Storage business, the backup business and the Enterprise Security business.
Operator: And the next question comes from Philip Winslow with Crédit Suisse.
Philip Winslow: I just have a question on margins. If I can just sort of back into your sort of implied margin for Q1 here. It's a pretty solid drop year-over-year for the second quarter in a row, and -- I mean, how should we just think about margins and just, I guess, what your OpEx and your COGS, your spending plans are relative to revenue? Because if fiscal '12 is relatively flattish year-over-year despite the fact that you have the benefit of sort of the right backup of the VeriSign deferred revenue over the course of the year versus fiscal '11 and now in Q1, margin is down and I'll call it 300-ish plus basis points -- I mean, how do you think about these 2? Because if the bookings and the revenue growth's not there, basically you have to have the revenue growth to expand margins from here? Or how do you just plan on OpEx?
James Beer: Well, the emphasis of our spending is very much tilted, again, in the coming fiscal year towards the higher-growth opportunities that we're seeing in the market. And those are areas like appliances, areas like the Hosted Services, the other subscription types of services that we've been discussing, and those are coming with lower margins. We absolutely think that we can drive contribution, operating profit increases as a result of growing those businesses. But there'll be some impact on margins as we scale these higher growths today, smaller parts of our overall business. At the same time, as we look to continue to grow the core, that will tend to support operating margins. So it's a balance between continued growth of the core, which will translate through quickly to operating margin improvement versus growth of these lower-margin, higher-growth opportunity subscription and appliance opportunity areas.
Operator: And moving on to Adam Holt with Morgan Stanley.
Keith Weiss: This is actually Keith Weiss sitting in for Adam Holt. On that note around margins, you guys did see a nice pickup on a year-on-basis, in your Security and Compliance margins, although the date is off a little bit from last quarter. Given that kind of mix that you're talking about, James, of the new and emerging businesses -- it seems like a lot of them are in the Security and Compliance business -- should we expect continued margin improvement in that business or is that an area that's going to really necessitate a lot of investments, and that should not be in our expectations on a go-forward basis?
James Beer: Well, we've been pleased by how the margins have expanded within Security and Compliance. Obviously, you've got products in that business unit like DLP and encryption. So those are more of the traditional type of license type sales and those, as we've discussed for several quarters now, have been coming along nicely. So they've tended to support margins in that business unit. You also see the impact of our authentication business, so the larger part of authentication is the server authentication at the sale business. And so the Security and Compliance business unit is continuing to benefit from the acquisition effects, and so that has been supporting margins in S&C as well. Now going in the other direction, you have much of our Hosted Services offerings within that business unit. We think that they'll continue to expand, and those come at a lower margin. So it'll, again, somewhat akin to my earlier answer, it will be a balance of those types of factors that will drive to the eventual margin result.
Keith Weiss: Got it. And then on the Consumer Business, you guys actually sustained margins there as well, despite the, I believe you said a $5.4 million additional OEM expense from product unit shipments. Where's the offset to that $5.4 million coming? Where are you guys still seeing additional margin improvements in that Consumer Business?
James Beer: Well, we're obviously pleased by the continuing growth of the top line. I mean, that's where it all starts and there, it's very much the new services backup, the live services, that have been continuing to grow nicely, and we've been pleased. We talked on one of our earlier answers about the strong renewal rates on the Enterprise side of the business. The renewal rates have been strong -- getting stronger on the Consumer side. So the top line has been helping out the margin and we've been obviously working the expense equation as well judiciously.
Operator: And the next question is from Greg Dunham with Goldman Sachs.
Gregory Dunham: I guess, stepping back a bit on the shift to subscription. When you guys look forward, do you expect this kind of shift to subscription to continue at this pace? Do you expect it to decelerate or accelerate? And is there anything you're doing from a comp plan perspective to influence that? That's my first question. And then a follow-up question will be on Clearwell and LiveOffice. The guidance embeds a pretty low number there. Is there anything going on with the integration there that we should be aware of, or is it just conservatism?
Enrique T. Salem: On the first question, our expectations are that customers are going to continue to move to more cloud-delivered and subscription-based businesses. I mean, the 2 standout performers there have been -- for the fiscal year, have been our .cloud services and our Managed Security Service business, because people are absolutely saying, "We need help dealing with the changing threat landscape." And so my expectation is you're going to continue to see a shift to the subscription businesses. Now the rate of growth, as James was commenting earlier, I think is going to moderate. But my expectation is, as you blend a combination of these rates, that they will definitely continue to be a much faster growing than our traditional core business. So continuing shift with a good growth rate. I'm going to let James comment on Clearwell and LiveOffice. The one thing I would tell you is LiveOffice is definitely one where we are seeing good pipeline building for that business as customers continue in their shift to the cloud-based services that I just talked about. I'll let James comment on the combination of Clearwell/LiveOffice, our guidance.
James Beer: Well, just in terms of the result for LiveOffice, remember that the accounting for this Hosted Service is fully ratable. So that recognized revenue will continue to build over the next several quarters, would be my expectation.
Enrique T. Salem: And also, we have the deferred write-downs.
James Beer: Yes.
Operator: And moving on to Walter Pritchard with Citi.
Walter H. Pritchard: James, I noticed in the quarter, you had a higher restructuring charge -- I think $31 million -- than you've had in 4 or 5 quarters. And I'm wondering first of all, what was behind that? Was there some activity associated within end-of-year and kind of positioning for '13 or -- what drove that?
James Beer: Yes, Walt, as I was mentioning in an earlier answer, we very much look to reorient our spending towards the highest growth opportunities, and each fiscal year, we issue productivity targets to each of our business leaders. And so they have been taking moves that orient their spend in-line with where the best growth opportunities are and that's led through to the restructuring charge that you see that we recorded in Q4. So yes, this is very much an output of our stated strategy of moving our spend very materially to where the best opportunities are.
Walter H. Pritchard: Got it. And then just -- I don't know if there's an answer to this question. It may be an answer that could come at the Analyst Meeting in a few weeks, but, see, you have a variety of revenue streams here. Some are appearing in revenue, some are appearing on the balance sheet. You've got the kind of the -- the maintenance question that John was asking in maintenance versus subscription. And then you've got the pieces completely off balance sheet. And I'm wondering, what sort of metric could you show us that would give us a sense maybe more transparently of how you're managing the business or something that would help everyone get comfortable? Because it sounds like you're pretty confident with what the internal numbers show, but relative to what we see, we don't necessarily see things moving in the right direction.
Enrique T. Salem: That's actually something for us to contemplate a little bit further. Obviously, we -- you hit the 3 drivers, which are revenue, deferred and basically long-term deferred or off -- or what's off -- not on the balance sheet. We can think about it, Walter. I think it's a matter of trying to give you something that is consistent year in and year out. And one of the things that we struggle with is we have a bookings metric that gets refined each year based on a number of parameters, so I'll talk to our team about it and try to figure out if there's another metric for us to potentially share that'll give you that visibility that you're interested in. It's just something that I would want to be consistent. And what we like about things like revenue, deferred and potentially billings, is that those are going to be independent of aspects of managing the business. What we can absolutely do, though, is give you more specifics on things like what's the comp plan look like? We can talk a little bit about the changes, we can talk a little bit about the changes that we're continuing to make to incent the sales force to drive the results that we want. I think that's probably an area that we can spend a little bit of time during the Analyst Day that can give you a feel for the way we're driving the business.
Operator: And the next question comes from Gregg Moskowitz with Cowen.
Gregg Moskowitz: James, as you noted earlier, your license revenues fell 26% year-over-year and you spoke about the reasons behind that. But if we were to exclude Storage and Server Management, what would we have seen in license revenues for the quarter on a year-over-year basis?
James Beer: Well, I don't have that particular breakout for you, but it's safe to say that our Storage and Server Management business unit drives a preponderance of the license activity in any one particular quarter. Because if you think about the other business units we have, the Services business, that's generally, fully ratable. The consumer business is almost fully ratable. And then the Security and Compliance group, that has some amount of license content in products like DLP and encryption. But the biggest business there is the Endpoint Security and Suites business, and that has taken, if not fully ratably, almost fully ratably. So the single most important driver by a long stretch is the Storage and Server Management group when it comes to the license in-period revenue result.
Gregg Moskowitz: Okay. And then, Enrique, on the call last week, you expressed a lot of confidence that your integrated Backup Appliance and overall appliance business would see meaningful acceleration in fiscal '13. Can you put a finer point on that? Is that due more to technology, go-to-market, the pipeline you're seeing around the deals? Any color there would be helpful.
Enrique T. Salem: I think that the most important thing is that we've got the largest installed base of backup software. So NetBackup is the market share leader in the Enterprise and large enterprise segments. And what we see is an opportunity to deliver the integrated appliance that has the media server, the backup software and the deduplication software, all integrated as one device. Previously, what we were doing was we were selling the backup software and our customers were using other people's media server and other people's data deduplication technology. So really, this is an opportunity to sell appliances that, I believe, are differentiated because no one else can integrate these 3 pieces the way we have in one device and deliver that into our installed base.
Operator: And the next question will come from Michael Turits with Raymond James.
Michael Turits: On the backup part -- I mean, the eDiscovery piece was down 3% and organic, that went down -- expect down even more x Clearwell. And I know there was a mix of rev rec issues in there. Can you give us an idea for what bookings would've been up? Because this has been a strong grower. So was this really all an accounting issue? Or if we look at this as on a bookings basis, what was the growth like there?
James Beer: Well, we don't have bookings and billings for you by business unit. So again, just going back to the, the sort of story of the quarter was around fewer of these larger deals, that particularly tends to be including backup and Storage Management. And so I think that gives you some sense -- while the volume of, for example, the million-plus deals that I referred to in my prepared remarks, were up several percent year-over-year, the dollars associated with those million-dollar-plus deals were down year-over-year, and that's very much driven by the typical big deal products, which tend to be NetBackup, the SAMG products, and to a lesser extent, Endpoint Security and so forth.
Michael Turits: Right. So I just want to make sure it's clear, that it -- was that a bookings shortfall relative to your plan? I just want to figure out if this is a rev rec thing or if I'm right because if NetBackup pauses, NetBackup Exec pauses, that your real sales, however you want to measure them, were light, if that wasn't just accounting issue.
James Beer: No, I don't think we should describe this as purely an accounting issue.
Enrique T. Salem: Yes. No, no, no, just -- we need to be clear on a point here, though, Michael. It's not accounting, but it's -- you may remember -- you remember 1 year ago, we talked about our deals above $1 million, and I also gave you a number, which is in deals above $10 million. So we -- 1 year ago, March, we did a lot of very large site license deals and those site licenses drive greater in-period revenues. So it's a bit of the volume of large-site license deals. That's not an accounting issue. That's an activity issue of large deals that tend to be more revenue rich. So it's a total volume of large-site licenses, is the point that we're making.
Michael Turits: Okay. I'm not sure if that was my follow-up or not, but I'll take another shot. On the consumer you said that you did 2% growth and you said that was in-line with your goals. I can't remember if you said on bookings or revenue basis. But obviously, 2% is less than the 5-percenters trend that you had in -- less than my model, maybe less than others. So what should we think of as far as the trajectory going forward? Obviously, your prior long-term guidance was higher. I think you've said that on the pure list commentary that it would be in this range for a little while. How should we think of that trajectory longer term?
Enrique T. Salem: When we -- if you look at the consumer business, it came in around our expectation, maybe slightly below where we had anticipated for the quarter. And what we definitely are seeing, as you know, in our business, especially when we talk about the OEM deals, a lot of the units that we're shipping are going into the emerging markets that have a lower attach rate. Now we are seeing a bit of a pickup in total PC unit shipments, but that has continued to go into emerging markets. And so the outlook on the consumer business, my expectation is, that business will continue to grow year-over-year, but, I think, at a slightly reduced rate as we continue to see this shift in where PCs are going. Now the opportunity for us is, as Janice and her team have shipped products like Norton One, which allow us to create a capability that goes across devices -- as that product goes into the market, my expectation is that we'll start to see a improvement in the bookings for the consumer business. And so my expectation is that, that business will definitely grow year-over-year, but probably lower than we've seen in the previous periods.
Operator: And the next question'll come from Daniel Ives with FBR.
Daniel H. Ives: Enrique, in light of a definitely slower growth, just walk me through rationale in regards to a potential dividend, and if your thoughts has changed in light of the outlook for next year?
Enrique T. Salem: We consider the various options of how we return value to shareholders. Obviously, our biggest goal is to drive the stock price and we work diligently at that. With regards to share repurchase and a dividend, James commented that we had repurchased about $893 million in the fiscal year. And we continue to always be open-minded to what we would do on dividend, but we do, at this point, continue to prefer the share repurchase. One thing that's interesting about $893 million is that number is a little bit higher than our onshore cash generation for the full fiscal year. And so ultimately, we are continuing to be a consistent, and quite frankly, aggressive buyer of our stock through our share repurchase. And that's probably the thing that we will continue through the fiscal year.
Operator: And the next question will come from Ed Maguire with CLSA. Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division I wanted to come back to this transition toward more subscriptions. In the Enterprise subscription business, growth is certainly a bright spot. Could you comment on how much of that business may be replacement of existing products? And I know that most of this activity is in Security, not so much in Storage. But as you make this transition, how much is relative pricing playing a role and how much are you coming into new competitive dynamics when you go to a subscription model?
Enrique T. Salem: It's a bit of a blend, but when you look at businesses like MSS, Trust Services, User Authentication, those are net new opportunities that are not replacing an on-premise capability where we were the previous seller. Quite frankly, I look at these subscription business as a net new opportunity for Symantec. While there is some overlap in our traditional mail and messaging Security products, where customers are looking at the .cloud capability versus the on-premise, when I look at a lot of new growth opportunities, MSS, Trust Services, even our ev.cloud, where customers do have on-premise capability, ev.cloud is tending to go into new customers, not into the existing base of people moving from on-premise Enterprise vault to a cloud-based Enterprise vault. And the reason is when have a big on-premise archive, people aren't rushing to try and move that to the cloud for a number of reasons. And so I do see that a lot of these new subscription businesses are absolutely net incremental and not going into cannibalizing the existing base. Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division Great. And just to take a little higher level as a follow-up. I mean, you commented on Europe on your call last week. But looking forward at the different regions, what's your sense of tone of business in Europe and in Asia, where you've actually had some -- some pretty nice growth over the last couple of quarters?
Enrique T. Salem: We continue to look at the world in mature and emerging markets. Obviously, we've got emerging markets around the world. I think Brazil continues to perform well for us. Our emerging markets in Europe have continued to do well, obviously, emerging markets in Asia. I would tell you that the opportunity in Asia Pacific and Japan, I still believe to be probably in aggregate the fastest-growing. I do see the markets -- our emerging markets in parts of Europe will continue to grow. The German economy continues to be strong, and so I expect that to be the bright spot in Europe. Our performance in the U.K. was also very strong. That was a pleasant upside, but I do expect there to be a relatively more moderated growth in other parts of the more developed parts of the Americas.
Helyn Corcos: [Operator Instructions]
Operator: We'll take the next question from Philip Rueppel with Wells Fargo Securities.
Philip C. Rueppel: Just one last question around that sort of slowdown or the lack of growth in large deal count. Is there anything structural going on there? I mean, do you think that the pipeline for fiscal '13 looks like you should see growth there? Is there change in compensation that is causing less of the big deals or is it really just something that we're going to see from time to time ahead of major product launches, et cetera?
Enrique T. Salem: Yes, in a comp plan, there's no change that [indiscernible] to get the large deals. I think it's a matter of -- we definitely saw -- last March, we saw a number of quite a bit of pent-up demand and a number of very large-site licenses that came through. My expectation, though, is we are going to continue to see this mix shift, that I've been -- that James and I have been describing, to more subscription-oriented businesses. And I don't expect to see, as many real large site license deals going forward. Now, this is all built into what we've been sharing with you. And so as I look at the guidance we've given and the pipeline and the mix of products, given all the information we have, I'm very comfortable with the guidance and the mix of licenses subscription for the June quarter. All right. Well, I'd like to thank everyone for joining us this afternoon and I look forward to speaking with you at our upcoming Financial Analyst Day on May 24. Thank you.
Operator: And that does conclude today's conference. We do thank you for your participation today.